Unidentified Company Representative: Thank you for joining us today. I would like to cover our financial results for FY ended March 2025 and explain our forecast for FY ending March 2026. Here is our agenda. Financial results for FY ended March 2025. Page 4, key takeaways. In FY March 2025, revenue was JPY3,423.4 billion and non-GAAP OP was JPY311.3 billion. We achieved the non-GAAP OP target set out in our mid-term management plan one year ahead of schedule. Excluding the impact of the deconsolidation of JAE, revenue increased 5.3% year-on-year. Non-GAAP OP increased by JPY98.9 billion, exceeding our expectations. Non-GAAP OP for FY March 2026 is expected to reach JPY320 billion, an increase of JPY20 billion from the mid-term management plan target. This plan factors in the macroeconomic uncertainties. Even given the environment, we will continue to steadily increase profits. Page 5, summary of financial results. Adjusted operating profit was JPY287.2 billion, an improvement of JPY63.6 billion year-on-year. In addition to non-GAAP operating profit, we also achieved our mid-term management plan targets for non-GAAP net profit and EBITDA one year ahead of schedule. There will be no change to the dividend per share from the amount already announced. The amounts shown are based on the basis before the stock split, which took effect on April 1, 2025. Page 6, year-on-year change in adjusted and non-GAAP operating profit. Adjusted OP for FY ended March 2024 was JPY223.6 billion and non-GAAP OP was JPY227.6 billion. Started from this, as you can see, we made significant improvements in IT services and social infrastructure, resulting in a total business-related operational improvement of JPY98.9 billion. The deconsolidation of JAE resulted in a negative impact of JPY15.2 billion. Nonetheless, non-GAAP OP for FY ended March 2025 was JPY311.3 billion. Non-GAAP adjusted items amounting to JPY24.1 billion include JPY12.1 billion recorded in the first three quarters plus restructuring related expenses and impairment loss of JPY12 billion posted in the fourth quarter. Adding all these factors together, adjusted OP landed at JPY287.2 billion. Please refer to pages 27 and 28 of the supplemental materials for adjusted items used in translating GAAP OP to non-GAAP OP. Page 7, Financial Results by Segment. The details will be covered later, but in short, revenues and adjusted OP of IT services and social infrastructure increased. Others revenue and adjusted OP decreased due to the deconsolidation of JAE. Page 8 and onward show the details by segment. First, IT services. Domestically revenue was up and profitability improved by 2.3%, both of which contributed to a significant enhancement of OP. Revenues excluding NEC facilities increased 9%. In international IT DGDF business, one-off expenses of approximately JPY5 billion were recorded in the fourth quarter, which resulted in the full year one-off cost of about JPY10 billion. Nonetheless, OP was up due to improved profitability, mainly attributable to Avaloq. Page 9, Domestic IT Service Booking Status. Excluding NEC facilities, domestic IT services increase 12% year-on-year, with demand remaining robust. In public sector, in addition to municipal government platform standardization, projects for central government and agencies were the contributing factors. Enterprise sector continued to perform at a high level on par with the previous fiscal year. In finance sector, revenue decreased due to a reversal effect from the previous fiscal year, but the project pipeline remains strong. Manufacturing is up 9% due to the phasing into selecting orders based on profitability and an increase in DX-related projects. Retails and services sector is also showing steady growth. Abeam also continued to perform well, registering a 13% increase. Page 10, Social Infrastructure. Although telecom services was impacted by the investment restraints of telecom operating and one-off gains and losses as shown in the next page. Due to the optimization of cost, mainly around development expense, telecom services secured an increase in profit. ANS achieved a large increase in both revenue and OP by steadily delivering on the existing projects. Due to an increase in the government budget, the annual orders amounted to more than JPY500 billion following the trend of FY 2024. Page 11, Supplemental information on telecom services, factors of variance in adjusted OP, changes in the fourth quarter. Marginal profit was affected by the worst unexpected deterioration of the base station business recording negative JPY4.5 billion and due to the absence of one-off loss, which was recorded in Q4 of FY 2024, recorded positive JPY15 billion. However, the submarine cable business recorded loss of JPY14 billion due to issues caused by force majeure. Delays in several projects have resulted in additional costs, and we are currently investing in countermeasures to complete the construction as soon as possible. Measures have already been implemented for new contracts, and in the future, necessary actions will be taken for projects that were contracted under the former terms and conditions. Once completed, profitability is expected to return to normal. In addition to the above, we recorded a loss of JPY5 billion for streamlining assets. Putting all these factors together, we registered a loss of JPY8.5 billion in Q4, but the improvements we had made up until the third quarter made us land the full year with an increase of JPY16.6 billion in profit. Page 12 shows free cash flows. Free cash flow from operating activities increased JPY73.2 billion from the previous fiscal year. For the breakdown, increasing adjusted OP contributed JPY63.6 billion. Improvement of cash conversion cycle generated a significant improvement of JPY48.5 billion. On the other hand, cash flow from investment activities was a net outflow of JPY55.1 billion, mainly due to investments to optimize real estate portfolio in view of future economy and to secure future options. As a result, free cash flow was JPY213.2 billion, an increase of JPY18 billion from the previous year. Page 13 shows status on the sale of investment securities. The mark-to-market amount has increased since the end of March 2024 due to the inclusion of NEC Capital Solutions shares as cross-shareholding, following reduction in the company's equity stake, including the sale of JPY7.4 billion during FY ended March 2025. However, the cumulative sales since March 2020 amounted to JPY159 billion. The number of shares held is also down 80% from 108 at the end of March 2020 to 24 at the end of March 2025. We will continue to reduce cross shareholding going forward. Next is financial forecast for FY March 2026 and the progress of mid-term management plan 2025. Page 15 shows the forecast for FY March 2026, we have revenue of JPY3.36 billion, adjusted OP of JPY310 billion, and non-GAAP OP of JPY320 billion. The difference between adjusted OP and non-GAAP OP is JPY10 billion, assuming ongoing structural reforms. Page 16 shows revenue and adjusted OP by segment. IT services is projected to post revenue of JPY2.15 trillion and adjusted OP of JPY263 billion. Social infrastructure is projected to post revenue of JPY1.16 trillion and adjusted OP of JPY100 billion. I will give you more details on both segments later in my presentation. For others, revenue is JPY185 billion, including the decrease in revenue due to the transfer of a subsidiary business. Adjusted OP is minus JPY4 billion despite the improvement in profit due to the absence of restructuring costs and impairment losses recorded in the previous year. Adjustment is minus 49 billion reflecting ongoing structural costs -- restructuring costs, and macroeconomic risks as contingency. Page 17 shows details of IT services. In domestic IT, revenue is declining due to the transfer of corporate PC sales function to NEC personal computers. Adjusted OP is increasing due to improved profitability. In international IT DGDF, adjusted OP increasing, supported by continuous margin improvement and absence of one-time expenses recorded in the previous fiscal year. Starting this fiscal year, we will move the headquarter functions of international IT DGDF to Europe to further accelerate growth strategy. Page 18 is social infrastructure. Telecom services is expected to improve OP due to the rebound from one-time factors in the previous year. ANS factored in an increase in profits commensurate with the increase in revenue. ANS plans to increase investments to capture future business opportunities. Excluding the increase in investment, the profit margin should be flat from FY March 2025. Page 19 is for Blue Stellar. FY March 2025 results show a 44% increase in revenue from the previous year with significant improvement in profitability. For FY March 2026, to ensure future growth, we will increase investment to expand our product lineup and resources while improving profitability through continuous sales and profit growth. Page 20 shows progress on low-profit businesses. Through our activities to date, a total of 12 businesses have already exited our monitoring list by the end of FY March 2025. With two new businesses, including the submarine cable business, added to the monitoring list during FY March 2025, a total of eight businesses are remaining. We are continuing our efforts to improve profitability of the remaining businesses, but we'll make a final decision by the end of FY March 2026, including the possibility of value maximization through divestiture or partnering with others if profitability improvement is not feasible. Page 21 shows capital allocation. The basic policy remains unchanged, as shown on the slide. For investment in growth areas, we have decided to apply cash ROIC evaluation to M&A transactions. The method will be applied to evaluation both before and after acquisition. This should enhance our investment discipline by ensuring that cash ROIC exceeds work within five years after acquisition. Finally, we have a segment of reclassification. NEC Networks previously placed under telecom services will be reclassified into IT services domestic business following consolidation as a wholly owned subsidiary and group wide reorganization to strengthen local government and SME businesses. The submarine cable business, also under telco services, will be renamed as ANS to execute national security-related businesses, including economic security. That concludes my explanation. Thank you very much for your kind attention.
End of Q&A: